Operator: Good day, and welcome to the Elastic Fourth Quarter and Full Fiscal Year 2020 Financial Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Anthony Luscri, Vice President, Investor Relations. Please go ahead.
Anthony Luscri: Thank you. Good afternoon and thank you for joining us on today's conference call to discuss Elastic's fourth quarter and full fiscal 2020 financial results. On the call, we have Shay Banon, Founder and Chief Executive Officer; and Janesh Moorjani, Chief Financial Officer. Following their prepared remarks, we will take questions. Our press release was issued today after the close of market and is posted on our website. Slides which accompany this webcast can be viewed in conjunction with live remarks and can also be downloaded at the conclusion of the webcast on the Elastic Investor Relations website ir.elastic.co. Our discussion will include forward-looking statements which may include predictions, estimates, our expectations regarding the impact of the COVID-19 pandemic and other information. These forward-looking statements are based on factors currently known to us speak only as of the date of this call and are subject to risks and uncertainties that could cause actual results to differ materially. We disclaim any obligation to update or revise these forward-looking statements. Please refer to the risks and uncertainties included in the press release that we issued earlier today and those more fully described in our filings with the Securities and Exchange Commission.  We will discuss certain non-GAAP financial measures. Disclosures regarding these non-GAAP financial measures, including reconciliations with the most comparable GAAP measures can be found in the press release and slides. The webcast replay of this call will be available for the next 60 days on our company website under the Investor Relations' link. Our first quarter fiscal 2021 quiet period begins at the close of business Friday, July 10th, 2020. With that, I'll turn it over to Shay.
Shay Banon: Thank you, Anthony. Hello and welcome to everyone. I am happy to be here with all of you today to share the results of our fourth quarter and full fiscal year. I feel fortunate to report that our business is strong and resilient, we continue to innovate rapidly, and we are executing well in these challenging environment. I'm extremely proud of how the Elastic team continues to support our community of users, partners, and customers, and my heart goes out to those affected by the COVID-19 situation. The team did a fantastic job building on our Q3 results to achieve an amazing Q4 and strong finish to our fiscal year. And they did so during truly challenging times with the COVID-19 outbreak, which I will cover before touching on our results and business highlights. On our February earnings call, we said we would closely monitor the COVID-19 situation and respond as needed. As we learned more, we adapted quickly to manage for safety, cost efficiency, operations, and overall business continuity. We are resilient because of our source code and cultural traits. They form a foundation that we believe is unshakable in the face of adversity. Our company is distributed by design, so transitioning to work from home simply required sending an email. We've always had the infrastructure, tolling, discipline, and mind set for virtual work on a global scale; engineering continues to ship product; marketing continues to drive demand; sales continues to close business; and our community of users and customers continue to engage with us. We are innovating and executing and adapting our go-to-market motion as needed. We continued to execute on our direct sales motion in a virtual environment, allowing us to keep closing new and renewed businesses. We've pivoted all of our in-person training to the online format we've had for years. We shifted all our Elastic {ON} events to be virtual entry. We held three virtual events in Q4 and there are more on the way. When an event is no longer restricted to a physical location, we're able to reach and engage a broader audience. As a result of this shift, we're also seeing increased attendance. As for what comes next, our strengths will help us navigate that from our distributed by design approach to our rapid pace of innovation, development of customer-focused solutions, our large and geographically diverse customer base, efficient go-to-market, solid customer expansion, and strong balance sheet. All of these gives us confidence to address the rich market opportunity ahead of us. Moving on to our results, looking at the full fiscal year, revenue grew 67% year-over-year. In Q4, we once again saw robust customer acquisition and expansion metrics and grew revenue 53%. We ended the quarter with more than 11,300 subscription customers, including over 610 with an annual contract value of more than $100,000 and our net expansion rate continues to be over 130%. This is all made possible by our wonderful community of customers, partners, users, and employees. So, thank you. You can see we continue to balance doing the right things for the near-term with planning for the long-term. Our company is relentlessly resilient. We believe we are well-positioned to address the changing business landscape, more virtual teams and workplaces, a greater move to the cloud, and increased pressure to consolidate tooling. We're built on a free and open foundation, which has staying power in challenging times. Our free and open distribution model will continue to feel rapid adoption and innovation. Our business model will continue to leverage proprietary software that delivers unique and compelling value to our customers. We will continue to invest in our three solution built on a single stack that can be deployed anywhere under a unified pricing model. I'd like to share a few highlights with you. I'll start with our enterprise search solution, because I'm particularly excited about this space. I've been in this industry for more than 15 years and these are words I did not think I would say. That's because historically, enterprise search meant months to years of setup times to deliver a solution that didn't scale, didn't connect to everything you wanted, and have confusing and restrictive pricing. The engagement often involves success services and in the end, the solution just didn't work all that well. You couldn't find anything. Our enterprise search solution is different. We believe in the ability to easily and quickly put a fast, scalable, powerful search box on websites, applications, and workplaces. This is validated by customers from across industries, who continue to adopt us for this solution this quarter, from e-commerce to financial services, technology and the public sector. We're rapid release company. We drop major features in minor releases. With our latest release 7.7, reached a significant milestone, our proprietary Elastic workplace search product became generally available. It's a completely new set of find for the enterprise. It provides an intuitive, single point of search that lets employees find what they're looking for. Whether that's across common workplace tools like Microsoft 365, G Suite, Slack, Salesforce, GitHub, and Zendesk or custom applications. Our out-of-the-box connectors and flexible APIs cover a lot of ground and there's more to come. And with resource base pricing, we keep things simple and flexible. Customers pay for the resources their search consumes. Plus, we're making workplace search even easier to adjust with an upcoming free and proprietary tier and the ability to deploy on Elastic Cloud. Our products can go-to-market approach in this space is timely as a massive shift towards virtual workplaces and phones, and I'm not alone in my thinking. Forrester estimates we'll see three-fold growth in the enterprise search market the next three years as company look to replace old search technology. Forrester also noted that with the release of Elastic workplace search, we are well-positioned as the transition unfolds. So, there is definitely more to come. Now, take that search box for enterprise search and apply it to observability with log, metrics, and APM data. Our approach to observability eliminates data silos, reduces mean time to resolution, and allows customers to control costs without compromising on visibility. This is important because as observable systems and services continue to multiply to meet business needs, so will the pressure to consolidate a sprawling universe of tooling, whether that's because of cost, efficiency, or book, Leading American Mortgage Company, Ellie Mae, who is the customer of ours, comes to mine here. They used to have many different technology vendors deployed across their entire business to monitor various systems and services. Tooling bingo, they called it by choosing Elastic's unified approach, not only did they cut their logging costs in half, they became more efficient in finding bugs faster. This has translated into a better customer experience, and in turn, potentially higher revenue. One stack, one pricing model, and the ability to move between solutions. This resonates with our customers, and we are constantly delivering more and differentiated value to them. In our 7.7 release, for example, the team shipped highly requested service maps capabilities for greater visibility in APM use cases. We also introduced many new out-of-the-box integration, flexible search options over large data volumes and improvements to memory usage and previewed our newly refactored alerting framework. And because features like alerting are implemented at the staff level, the foundation there are applicable to all of our solution, not just observability. If you think about all of these value in the context of our unified pricing model and ability to deploy multiple solutions on a single stack, it's a really powerful thing for our customers. In fact, we have business renew and expand in Q4 with two fortune 50 companies, one in technology and the other in retail to follow various applications of enterprise search, observability, and security. As the business landscape evolves, the need to detect threats and protect endpoints is increasing along with the need to search across enterprises and observed infrastructure. For example, global financial services company BNP Paribas renewed and expanded business with us in the quarter. They've used the last thing for centralized logging, an application search for a few years. Now, they are building out a large security operation center. This expansion opens up the opportunity to integrate same into their Elastic use, and helps them streamline costs and accelerate time-to-market with a single technology stack. Another example is OverDrive, a leading digital reading platforms for eBooks, audiobooks, and video from public libraries across the world. Elastic power search within their customer-facing applications and log analytics on those applications. In Q4, they close new business without for security. Seeing the value that a single unified stat that powers threat hunting and endpoint protection, in addition to their other use cases, ultimately help them decide to make a multi-year investment with Elastic. In the same way that we believe any observability customer is a potential security customer; we believe that every single customer is a potential endpoint customer. This is why we're relentlessly executing on our vision of a fast, scalable security solution that unifies the same and endpoint protection into a single foundation with unified pricing. And it just gets better and better with each release. In Q4, we introduce new features, such as embedded case management workflows that also natively integrates with ServiceNow. This streamlines incident response and reduces mean time to respond, which is critical to the success of today's security practitioners. We also continue to invest in our cloud offering. Our Elastic Cloud is available on AWS, JCP, Azure, Tencent Cloud, and Alibaba. In the quarter, we announced a preview release on AWS GovCloud and our FedRAMP in process status. In addition to the availability of nine new global regions for Elastic Cloud, six on Google Cloud, two on Azure, and one on AWS. It's exciting to watch our cloud partnerships deepen, especially with Google Cloud and Microsoft. They worked with us to extend our workplace search products with G Suite make our annual subscription offerings available via the Google Cloud Marketplace and also recognize us as their 2019 Data Management Technology Partner of the Year. We're also fortunate to hear from Scott Guthrie, EVP for Microsoft's Cloud and AI group at our virtual sales kickoff. Our commitment to being where our users are remains strong. It starts with a great SaaS experience that drives customer adoption and retention. Take Nordics digital bank collector bank, for example, who renewed multiyear business with us in Q4 to run their logging and security workloads with our Elastic search service. And that commitment extends to bare metal or hybrid environment products like Elastic Cloud Enterprise and Elastic Cloud and Kubernetes, both of which have new releases in Q4, give customers the freedom to self-manage if they want to? We closed multiyear business in Q4 with a Fortune 50 Energy Company who chose this option. The users to monitor Kubernetes logs by running our Elastic Cloud on Kubernetes product. As you can see, the team hasn't lost a beat in terms of innovation or execution. I am honored to work with such an amazing group of people at Elastic and report on such a strong quarter and fiscal year. They made it possible to respond to the global crisis quickly and efficiently to manage for safety, cost efficiency, and business continuity. We believe our company, our go-to-market, our products, and our team are uniquely well-positioned. Our free and open approach makes us resilient during difficult times and helps us come out strong in the long run. Even when times are tough, people still need to solve the same challenges. Put a search box on their application or workplace, on their infrastructure to observe it, and on their company to protect it. We are here for them. Throughout all of this, I remain determined as we head into FY 2021 and optimistic as I look at the future, we will continue to invest in building on a single stack and make it easier for customers to adopt new solutions. We will continue to be where our users are, and deliver an unparalleled SaaS experience. We will continue to embrace and build on the amazing developer adoption of our technology as we move up in the enterprise. And we will stay focused on delivering value to our customers, community, and partners. And with that, I'll hand it over to Janesh.
Janesh Moorjani: Thanks Shay. Q4 was another great quarter for Elastic, capping off with strong FDI 20 total revenue in the fourth quarter was $123.6 million, 63% year-over-year, or 57% on a constant currency basis. We finished FY 2020 with $427.6 million in total revenue, up 57% year-over-year or 60% on a constant currency basis, reflecting strong revenue growth at scale. In terms of business momentum during the quarter, we saw a pause in mid to late-March when customers were focused on taking care of their employees and operationalizing their business continuity plans as various knockdowns went into effect. After the distractions faded, we finished March strong with the momentum continuing into April. Our customer diversification has been an advantage to us across geographies, verticals, and segments. In Q4, 42% of our revenue came from outside the United States, reflecting the strength of our distribution model. Hospitality, transportation, traditional, retail, and energy on a combined basis make up less than 15% of our business. Although business has been impacted and those verticals by COVID-19, we also have customers and verticals that have benefited from COVID-19, such as e-commerce, gaming, on demand delivery, and media companies. Further, although SMB growth was slower compared to other segments, we also have limited exposure to the SMB segment at roughly 15% across both self-managed and SaaS formats. Increased customer churn in the segment was offset by even higher new customer additions, reflecting the strategic value of our product offerings. Offsetting the impact in SMB, we benefited from continued strength in government spending outside the United States, and in the enterprise segment, reflecting early indications of success of our strategy to penetrate the enterprise deeper without solutions. All these trends demonstrate that the benefits of being a distributed company aren't limited to our internal capabilities. They extend to achieving diversification more broadly, which we view as a long-term advantage. SaaS revenue in the fourth quarter was $29 million, up 110% year-over-year or 120% on a constant currency basis. Fast revenue for FY 2020 was $92.3 million, up 101% year-over-year or 109% on a constant currency basis. We saw strength in both our annual SaaS business as well as our monthly SaaS business. Our rapid growth in SaaS reflects the success of our strategy to widen our competitive moat with proprietary features and to leverage our partnerships. Moving on to calculated billings. Calculated billings in Q4 grew 52% year-over-year or 55% on a constant currency basis to $175.1 million. APJ was once again the fastest growing region followed by the Americas and then EMEA. At the end of Q4, total deferred revenue was approximately $259.7 million, up 52% year-over-year. Remaining performance obligations totaled approximately $535.6 million, also up 52% year-over-year. Contract length were longer versus a year ago at over one and a half years on average. As a reminder, we do not manage the business to a target contract length and our monthly SaaS business has no deferred revenue or remaining performance obligations. Turning to customer metrics, as of the end of Q4, we had over 11,300 subscription customers, compared to over 10,500 customers at the end of Q3. We saw similar strength in new customer additions in Q4 as we have seen in prior quarters. We also ended the quarter with more than 610 customers with annual contract values above $100,000 compared to more than 570 such customers at the end of Q3, reflecting continued strong renewal and expansion trends despite COVID-19. In Q4, our net expansion rate remained over 130%. We also achieved another important customer milestone in Q4. We now have over 50 customers with ACV over $1 million, reflecting the richness and differentiation of our offerings, strong alignment of our solutions with customer spending priorities, and the success of our go-to-market model as we move further up within the enterprise. Although we do not plan to discuss this number each quarter, we will continue to share important milestones on this journey with you. Now, turning to profitability, which is non-GAAP. Gross margin in the fourth quarter was 76%, largely reflecting a sequential improvement in professional services margin which can fluctuate based on projects and delivery timing. Subscriptions gross margin was roughly flat compared to Q3. We're tracking well relative to our expectations. In the near-term, we will continue to invest in our SaaS business which will remain a modest headwind to gross margin overall. Our operating loss in the quarter was $12.7 million with an operating margin of negative 10%, which was significantly better than expected, driven by three factors; strong revenue performance in the quarter, lower discretionary spending due to shifts to virtual across all of our operations, and to a lesser extent slower hiring as we navigated the uncertainty related to COVID-19 during March and April. The FX impact on operating margin was insignificant. Our strong operating margin performance in Q4 reflects both the underlying leverage in the model as well as our [Indiscernible] on investing with discipline as we drive growth. Operating margin for the full year was negative 18%. Net loss per share in Q4 was $0.12 using 82.1 million weighted average shares outstanding. Net loss per share in fiscal 2020 was $0.93. Turning to free cash flow. Free cash flow was negative $6.8 million in Q4. Full year fiscal 2020 free cash flow margin improved two percentage points year-over-year to negative 8%. We've demonstrated free cash flow margin improvement of a few percentage points each year for a couple of years now indicating the leverage in our business model as we scaled. We were pleased that we delivered free cash flow margin improvement again this year, despite the dilution from the acquisition of Endgame. We expect that we will drive improvement in free cash flow margin again in FY 2021 to approximately negative 2% to negative 4% with a goal of achieving positive free cash flow margin in FY 2022. We ended the year with approximately $297 million in cash and cash equivalents. We remain comfortable with our cash position from an operating perspective. Before I move to guidance, I want to briefly discuss our overall framework for fiscal 2021. In the near-term, we believe the trends we experienced in April will continue as our customers continue to prioritize their investments and we help them achieve their business goals with our solutions. We also expect that our SaaS business will continue to grow at a strong pace and faster than our overall business. Looking ahead, our assumption is that we are going to be operating in a difficult economic environment due to COVID-19 with only a gradual recovery over time, which will likely create headwinds on calculated billings over the next couple of quarters. In building our fiscal year plan, we examine various scenarios to better assess the impact from affected vertical, segments, and geographies. Some of these have positive effects and some negatives. However, we do generally expect that some customers will scrutinize their spending more carefully given a challenging economic environment and this might cause sales cycles to become longer. The great thing is that our solutions align well with their business priorities and our competitive advantages are strong and distinct. Therefore, we remain positive on the long-term growth of the business. Given the strength of our balance sheet, our strong execution in fiscal 2020 and the size of the opportunity in front of us, our intention is to continue investing through the cycle. We expect to maintain a disciplined approach to investing across the entire business. We plan to continue headcount related investments in R&D to drive innovation and sales capacity and coverage globally to drive growth, as well as in G&A investments to drive global expansion and scale. At the same time, we intend to drive margin improvement. We can do both given the leverage inherent in our operating model. Turning to guidance for the first quarter and the full year fiscal 2021. We're expanding our revenue guidance range to account for the increased uncertainty in the broader economic environment. For the first quarter of FY 2021, we expect revenue in the range of $119 million to $122 million, representing a growth rate of 34% year-over-year at the midpoint. We expect non-GAAP operating margin in the range of minus 12% to minus 11% and non-GAAP net loss per share in the range of $0.19 to $0.17, using between 83 million and 84 million ordinary shares outstanding. For the full year fiscal 2021, we expect revenue in the range of $530 million to $540 million, representing a growth rate of 25% year-over-year at the midpoint. We expect non-GAAP operating margin in the range of minus 15% to minus 13% and non-GAAP net loss per share in the range of $0.98 to $0.85, using between 85 million and 87 million ordinary shares outstanding. This guidance reflects approximately $9 million in savings from the shift of our Q1 global all-hands meeting to virtual. We expect our spending on this event to return in Q1 of FY 2022. We also expect to see savings from travel and events which we will reinvest in other programs intended to drive growth. In closing, I'll emphasize a few points in relation to our business. First, the Elastic team is distributed by design and our business is diversified across geographies, segments and verticals. With customers that range in size from a few hundred dollars to several million dollars, this diversification is an inherent advantage for us. Second, our customers spending priorities align well with our solutions as customers prioritize their spending in a difficult economic environment; we believe that enterprise search, observability, and security you will all be areas that will benefit. Third, with rapid innovation in our proprietary features over the past couple of years, we have significantly widened our competitive moat. Our technology is also built on a unified stack, which we believe makes our R&D investments more efficient. Fourth, we offer a unified resource-based pricing model which liberates customers from the burden of paying based on ingest or per host or other pricing models with hidden costs. And finally, we have an incredibly powerful distribution model with a large community of users and a free and open on ramp. We believe this positions us incredibly well to emerge from the current economic situation, as we win both on value for paid features and cost for free offerings. With that, let's take questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question will come from Brent Thill with Jefferies. Please go ahead.
Brent Thill: Good afternoon. Just on the guidance here, your guidance is the midpoint 25% revenue growth in 2021 after growing 57$ in fiscal 2020. Maybe if you could just give us a little more around your assumptions in why such a massive decal on the topline?
Janesh Moorjani: Hey Brent, it's Janesh. I hope you can hear me okay, we had a little bit of trouble with the audio earlier. But in terms of the question, look, we obviously had a very strong finish year to Q4. And we're actually quite pleased with the results that we deliver here. As I mentioned in my earlier remarks, we did see some impacts related to COVID-19 in some areas, and that was offset by strength to be experienced in other parts of the business. That's said just given the broader macroeconomic environment that we think will be difficult over the coming quarters, we do generally expect that some customers will likely scrutinize their spending a little bit more carefully in this environment that might cause sales cycle to lengthen a little bit, and it might presents a bit of a headwind calculated billings over the next couple of quarters. Generally speaking, we expect that the recovery will be gradual and so we believe it's just best to be prudent in our outlook for the rest of the year at this point in time. We looked at various different scenarios, as we are building our financial plan internally; obviously, we went through that process here in the last month or so. And as we looked at all of those different scenarios, we considered all of these effects as we as we set guidance. So, we'd obviously update you as you go. But for now, we're focused on executing here in Q1. The great thing for us is the market opportunity continues to be large and growing and as you've seen here in Q4; our solutions are aligning really well with customer priorities. And our competitive advantages are strong and distinct. We're quite positive on the long-term growth of the business, but prefer to be a little bit prudent here as we look to the rest of fiscal 2021.
Brent Thill: And real quickly, has may sell better to you then then April, I think the tone is definitely seems to be improving. But are you seeing that in your business right now?
Janesh Moorjani: Yes, there's a couple of different dimensions to that. So, the strength that we saw in April coming off the couple of weeks that were slow in the month of March, generally speaking, the overall business momentum and cadence has continued when I think about some of our top of funnel activities, April and May have both been as consistent levels compared to sort of the pre-COVID levels. But that said, May is always a little bit of a unique month for us because it's the first month of our school year and so we will typically have a slower start as salespeople align to new territories and, and territories get carved, and quarters get assigned and so forth. So, generally speaking, I'd say the broad customer trends have continued, but we do think it's best to stay focused on execution in the near-term and then update you again in 90 days for Q2 and beyond.
Brent Thill: Thanks Janesh.
Operator: And our next question will come from Raimo Lenschow with Barclays. Please go ahead.
Raimo Lenschow: Two questions first. One first for Shay, can you -- do you see already a change in what customers are looking for in terms of solutions that are kind of wanting to interact with you in terms of like -- what had the crisis changed? What products are hot with you? Or like -- and what are kind of slightly less in demand? And have you changed the marketing around that? And then one for Janesh, like, I get the links being weak, but, obviously guiding for total revenue. So, to get to that numbers, I need to have quite a bit of non-renewals and churn coming into the mix. And you gave us kind of some very low numbers on SMB. So, just -- is there any other factors we need to -- big non-renewal or something that we need to be aware of? Or is it just kind of the environment in general? Thank you.
Shay Banon: Yes, I'll start to take the first question. Thank you, Raimo. So, when I think about the current environment, obviously, in the context of the pandemic that is going around, companies becoming virtual, closing offices, working from home, probably accelerating their digital transformation if it's happening and try to figure out how do they go and be there for their employees to make sure that they continue to close business and look at it through the prism of our three solutions. If I start with enterprise search, then we're a distributed company for many years now, we have a saying at Elastic that face-to-face meetings are not searchable, which means that as companies become more distributed, and they work virtually, they create much more ICE when it comes to written communications, whether it's on messaging apps, transcribes, on video calls, and more collaboration on things like Google Docs and Office 365. All of that is critical IP for a company that companies will want to go and search. And I expect our workplace search products and just [Indiscernible] to be exactly a good seat for that. So, I'm excited about the opportunity of helping our customers be more efficient and successful with capturing the fact that they become more virtual. When it comes to observability. Obviously, as you work more from home, you end up having to manage more servers, more infrastructure, more laptops. You rely on external services and internal services, and all of them needs to be observed, not only to satisfy the needs of the customers that you serve as a company, but also to serve your employees. If a service is down, then suddenly the whole company can slow down. And with that sense, we provide a set of observability tools that help support that. And we've heard with a few customers of ours that say that, thanks to our observability tools, we help them become virtual and they are using our tools to be able to go and make sure that they managed to this transition. And lastly around security, obviously, as I mentioned, as you have more servers, you we have more laptops, and you have more endpoints, and you need to be able to protect them either to the endpoints themselves or by being able to get all of that data correlated and execute against it. As you become more digital and you have more infrastructure, your attack surface grows and our security solution and strategy applies nicely to it. So, I'm excited about our ability to take these three main solutions that we focus on and bring it to our customers. And it seems like it aligns well with where companies are heading today and in the future.
Raimo Lenschow: Okay.
Janesh Moorjani: And Raimo to follow-up on the second question about the churn assumptions and our experience with renewals. Broadly speaking, we've actually -- we're quite pleased with the way Q4 turned out even on renewals and the overall expansion metrics that we brought with our customers. We didn't see any significant differences in churn overall in the customer base. We did see a slightly higher churn in SMB that I had mentioned earlier in my remarks, but given the past, only around 15% of the business that didn't affect the overall churn much at all. In fact, our gross renewal rate was actually similar to where it's been in the past. So, again, kudos to the team on executing during Q4. We're just pleased that customers continue to see significant value and our solutions and our paid features. And that's what we're executing towards over here. In terms of how that factors into the guidance, as I said, we looked at various different scenarios in terms of where those headwinds might arise. It can come from a number of different areas; we will have to just monitor that as the overall economic environment unfolds. So, for now, we're just focused on executing here in Q1 and we provided the outlook based on the assumptions that we had built into our internal plans as we were modeling the--
Raimo Lenschow: --product. Okay, make sense. Thank you very much and stay safe. Well done.
Janesh Moorjani: Thank you.
Operator: And our next question will come from Matt Hedberg with RBC Capital Markets. Please go ahead.
Matt Hedberg: Hey, guys, thanks for taking my question and glad you guys are all well. I think I just want to ask another question on the guide. I think we're all trying to reconcile what was really a very strong quarter, I mean, 60%, constant currency growth for the year. It sounds like April and May have been had been good. I guess I had a question. You know, in terms of the scenarios that you ran, Janesh, on the guide. Are you actually seeing sales cycles extend right now or is it more of the assumption that you might expect them to happen? Because just seems like there's a real disconnect between the momentum that you're seeing and maybe the conservatism and maybe also could you comment on the strength of your pipeline, at this point, kind of relative to where we would normally be in Q1?
Janesh Moorjani: Yes, happy to matt. So, a couple of things. One is generally speaking, the activities that we saw in the month of April have continued in May, as I said earlier. That relates to overall top of funnel activities in terms of our webinars and conferences, our virtual Elastic {ON} Tours, all of our demand can activities, all of that continues as normal. We've seen, I'd say, a consistent level of activity over the past couple of months. And so that's all good. In terms of the actual performance in May, without getting too much into our overall Q1 performance, as I said, money is usually a little bit of a slow start. It's the first month of the fiscal year. So, I think it's just too early to tell what that impact will be. And so that's why we were staying focused here on just delivering a solid set of numbers for Q1 and then we'll update you again in 90 days' time on the rest of the year.
Matt Hedberg: And then maybe Shay, I mean, I guess, when we think about the impact of COVID clearly there's significant changes in how I think we all live and work. When you look out longer term, do you see the impact of elevated work from home increased public cloud adoption, it should that be a tailwind for you guys. And maybe you're not quite seeing it yet, but I'm sort of curious, philosophically speaking, you should all of this that we're seeing right now benefits you guys longer term?
Shay Banon: Yes. Thanks, Matt. We definitely think that it's going to be a tailwind over the long-term. We're simply -- first, I'll just start with FY 2021, we're being measured there on how we look forward. This is an unprecedented times. We want to make sure that we're being careful and try to manage it as much as we can without a crystal ball if you will. When it comes to the long-term, yes, I mentioned in my previous answer, I think our three solutions align extremely well, with changes that are happening due to COVID. Some of them are simply pulling the future more towards the present or the near future when it comes to company -- companies working more virtually, moving more to the cloud. Our strategy as a company, either through our three solutions and being there for our customers wherever they are, including cloud is sound and I feel confident and good about the long-term opportunity that aligns well with what's going on now.
Matt Hedberg: Thanks and strong results.
Shay Banon: Thank you.
Janesh Moorjani: Thank you.
Operator: Our next question will come from Mark Murphy with JPMorgan. Please go ahead.
Mark Murphy: Yes. Thank you. And I will add my congrats on a nice finish to the year. I was curious if you might be able to separate out any kind of tailwind do you saw from remote work activity during the quarter or just in other words, did you sense an uplift from customers who wanted to secure all the network traffic that's suddenly flowing in and out of their home offices, these projects that are tied to VDI environments? Is there anything like that that's discrete as an incremental driver?
Shay Banon: Yes. First of all, if I can take it, we definitely see more usage in our observability solution and our SIEM solution, both of them are driven by volumes of data and companies trying to adjust to a virtual workplace and being able to go and monitor it. There's many solutions out there that suddenly grew, because more data, more logs, more network data, packet data and what have you are now being ingested into it to make sure that companies are, a number one, well observed, and then number two, well protected. So that's definitely a tailwind. I don't know -- it's hard to gauge how much of an effect it had over the last month and a half. I suspect that that's going to be a more of a longer-term change. You can imagine that when this hit some companies that we talked to were scrambling to find laptops for their employees. So they had to go and figure that one out and find -- kind of find firewalls. But then once they have these laptops and firewalls, and they deployed, they need to be able to monitor them, observe them and protect them. And that's what we offer them.
Mark Murphy: Okay. Thank you for that Shay, I was interested as well whether you saw any customers that were indicating a kind of sense of urgency to spend money in April or in May, because they fear that their IT budget might get cut in the coming months, so seeing perhaps some kind of a use it or lose it effect coming into play in April or May rather than where you would normally see that cadence at the end of the calendar year. I think that's the question is, is along the lines of what Matt and Brent were sort of asking about trying to reconcile the health of Q4 versus the guidance?
Shay Banon: Yes. We haven't seen anything material when it comes to customers trying to spend money now because their IT budgets are going to shut down or get reduced. So I’ve nothing to call out there. I remain excited about the, again, on the long-term features, we're trying to be prudent about FY 2021. And even if IT budget ends up being cut down or get reduced, I am extremely confident about our ability to provide significantly more value for the same amount of dollars that companies spend either because they want to collapse their tooling bingo, if you will, and the observability spaces into a single technology stack and trained their employees only once on it, for example. The ability for us to be there for the customers wherever they are, whether it's on cloud, on-prem to make sure that they make the best financial decisions. And then even further than that, being able to collapse their technology investments across the same or endpoint with observability. So I think this consolidation of tools is going to be a tailwind for us, because we've spent quite a few years investing quite heavily in our technology stack and our products to be here for them for our customers.
Mark Murphy: Thank you, Shay.
Operator: Our next question will come from Heather Bellini with Goldman Sachs. Please go ahead.
Heather Bellini: Great. Thank you Shay and Janesh for taking the question. I just had a couple, I guess, Janesh I'll start with you just given all the questions you've been getting in Q&A related to this and the guidance. I'm just wondering, specifically, are you expecting or have you seen the size of your lands be lower because of COVID. And so I'm talking about kind of the new customer land, and then the net expansion rate, I know you mentioned above 130% yet again, but just wondering are based on your guidance, and your comments on the macro, is it assuming that it stays above 130% for the year and then I just had a follow-up for Shay. Thank you.
Janesh Moorjani: Yes, Heather. So we're actually quite pleased with the overall rate of new customer additions that we're experiencing, especially in light of COVID-19. You’ll see that last quarter it was consistent with what we've experienced before. And in terms of the size of those lands, we've really not seen any significant differences just yet. Given the size of the new lands or overall average deal sizes either they’ll continue to be consistent with what we've seen in prior quarters. And then [technical difficulty] obviously a backdrop of a strong revenue and billing finish, which reflects the expansion economics in the business as well. And in terms of those expansion economics, you've seen that again in the customer metrics around the expansion rate. [Technical difficulty], and we also shared the data point of the number of customers with ACV over a million dollars and in fact the end of 2019, we had only [technical difficulty]. So that's positive. Generally speaking, we've seen the trends be pretty strong for us. But additionally, as we were thinking about our plan for the rest of the year, we think it's just a measured road at this point. As I said, we executed here in Q1. And it's been a long-term as we continue to drive our overall strategy [technical difficulty] we've been talking about.
Heather Bellini: Okay. So you are assuming the net expansion rate stays above 130 then for the year in your guide?
Janesh Moorjani: Well, we didn't discretely break out new versus net expansion rates in terms of thinking about the model and the [technical difficulty] number of different scenarios, and based on in some of those, when have a potential headwinds associated with billings that might show up in different ways and different metrics.
Heather Bellini: Yes.
Janesh Moorjani: We looked at it in a number of different ways, and then we just coalesced around the view that we've shared with you here.
Heather Bellini: Okay. Thank you so much. And then the question for Shay, I was just -- you talked about this a little bit, but just APM seems to be something that from the partners we talked to has become even much bigger priority, people seem to be progressing there even faster. I'm just wondering kind of what you could share with us in terms of the momentum in the APM business. And if that maybe isn't selecting faster than you would have thought? Thank you.
Shay Banon: Sure, Heather. Yes, happy to cover it. So, first of all, our APM product has matured from my perspective, especially with the recent release, which adds the probably the last big missing piece, which is service maps that users were asking us for. I'm excited about the usage of our APM product. It really resonates well with our customer base. It took some time to wrap their head, obviously, around the observability story and being able to combine APM and logging, but once they do, it makes a lot of sense. And then we're there for them. We're getting extremely good feedback about the capabilities of our APM product. And we're getting extremely good feedback and reaction from our customers about the ability to combine APM and logs. So, I remain very happy about the product that we built and how well it resonates with our customer base. We have our workload outflows to basically promote the observability story, and make sure that users know us not only because of our superior or an accident logging solution, but also for APM as well, and I'm happy about with our progress there as well.
Heather Bellini: Thank you.
Operator: Our next question will come from Andrew Nowinski with D.A. Davidson. Please go ahead.
Andrew Nowinski: Great. Thank you and congrats on a nice quarter, on a nice finish to the year. I want to start off with perhaps a question on contract duration. Splunk talked about seeing a fairly significant reduction in their duration. It looks like you're stayed relatively unchanged. I'm just wondering if you're expecting any variability in the billings for the year attributable to any sort of change in contract duration.
Janesh Moorjani: Hey, this is Janesh. So, no, we didn't see any significant differences. As I mentioned, contract durations are a little bit longer in fact in Q4, which was a fantastic outcome for us, it just reflects the fact that as technology adoption has grown for elastic, customer relationships have gotten deeper, and customers are increasingly using us in mission critical environments. So, it was great to see customers make longer term commitments, which really reflects their confidence in elastic and our importance to them. That said, contracting can vary from quarter-to-quarter usually, they've averaged about 1.5 years for us and so we don't specifically managed to that number. So I wouldn't lean too much into that or call that a trend just yet. In terms of thinking about some of the factors that might cause duration to shorten, whether it's billing terms or what have you -- we haven't seen any significant volumes requests for shorter billing terms or for longer payment terms. That's obviously something we’ve keep an eye out on as the Quarter and the year unfolds. But at this point, we haven't seen anything in particular. So nothing is -- is changing there. It's sort of steady SaaS go, and something that we're like proud about.
Andrew Nowinski: Okay. Thank you very much for that. And then I was wondering, if you could provide any more color with regard to pricing pressure in the industry and sort of maybe the puts and takes as it relates to your gross margin for the year on how we should think about that relative to fiscal 2020?
Janesh Moorjani: Yeah. So, as I said, overall average deal sizing, deal sizes haven't changed are generally speaking, our pricing and our discounting practices continue to be consistent with where we were, as you know, for larger deals will obviously have larger discounts. We manage that in the overall mix and then of course, as a SAS continues to increase in terms of the mix that does present a headwind to gross margins overall. But as you'll see we’ve managed that quite nicely over the course of fiscal 2020 here and fiscal 2021 as SaaS continues to get become a bigger portion of the business, we do expect that we will have some level of headwinds associated with that in the gross margin number, but that's all factored into the guidance that we've laid out here.
Andrew Nowinski: Got it. Thank you very much.
Anthony Luscri: Operator, next question, please.
Operator: And our next question will come from David Hynes with Canaccord. Please go ahead.
David Hynes: Hey, thanks for taking my questions, guys. Maybe for Shay I want to ask about the workplace search release. If we think of -- the out of the box capabilities, How far would you say they get the average organization to where, you know, that they need to be? And then the second part of that question would be, you know, given us a throughput model, how do you -- how does this increase you know, that the searched surface area in your view and kind of what are the implications there in terms of potential for customer spend?
Shay Banon : Sure, of course. So I saw with the maturity of the product, we spend a lot of time trying to create a -- if you will, a consumer first oriented product, one that users will be able to go download or deploy on cloud and get started within minutes being able to connect to services like Office 365, G Suite, Zendesk, and ServiceNow, and others. So, that's what we spend most of our time with the products. We picked the top seven or eight connectors that our customers have talked about. We heavily focused on SaaS services versus self-managed ones, in order to be able to provide this seamless experience. And now we were going to work on adding this set of connectors. I'm happy that I out of the gate, we have coverage. For more, the more successful end use virtual tools from Google G Suite and Microsoft Teams -- Microsoft Office 365, for example. I think as we add more and more connectors and more and more support to other tools, we'll obviously be able to go and support more customers as they grow. When it comes to how he's going to drive our business, we still have the same pricing model when it comes to our workplace search, which I'm super excited about. It basically drives with the with the customer demand is the more data they store the faster they want results then they'll be able to go and spend more money with us. I do think that workplace search can be the place where people go and search their wikis and tickets and incident response and mails and chats and transcribes and what have you. And that obviously means quite a bit of data and that aligns with the value that we give to our customers, and aligns with our business model.
David Hynes: Yeah. Perfect. Okay, thanks very much.
Shay Banon: Of course.
Operator: Our next question will come from Brad Reback with Stifel. Please go ahead.
Brad Reback: Hi, great. Thanks very much, Janesh, two hear competitors has raised close to $2 billion over the last sort of week and a half. And with only with less than $300 million and I understand you'll be cash flow positive in the next sort of 12 to 18 months. But any reason you wouldn't go out and raise capital currently?
Janesh Moorjani: Yeah, a couple of thoughts on that. One is that, when you think about the position that we're in with almost $300 billion of cash on the balance sheet. We feel like we're in a pretty good condition from an operating standpoint. So, it's not like we need the cash from an operational perspective. You'll see that we've pointed to continued improvement and our free cash flow margin for fiscal 2021 as well, so we don't expect to burn a lot of cash. And so our view has been that we manage. We managed the balance sheet comfortably and conservatively and at this point in time, we don't - we don't foresee the need for that our operating position is relatively comfortable. And in the future if the opportunity were to present itself and we needed capital for any other purposes, and I'm sure we can consider things at that point, but at this time, we don't didn't feel the need to raise capital.
Brad Reback: Great, thank you very much.
Operator: And our next question will come from Ittai Kidron with Oppenheimer. Please go ahead.
Ittai Kidron: Thanks. I promise no question on guidance. Shay, why don't we start with you on security. Can you talk about the integration of endpoints you had some milestones that you're hoping to achieve? And I think the integration was scheduled for later in the year, but where do we stand on that process and then selling this as a full solution. And future -- on the government side, I think you mentioned that government spent outside of U.S. was solid. Is that -- what was -- turned on your short quarter two again, execution wise, can he do those to tie or there's something else can you talk about the execution generally that vertical?
Shay Banon: Sure. Hi Ittai. Let me take the first one. So first of all, I'll start with just saying that I remain excited and impressed and humbled by the end game team that joined us we had more than 100 people join our engineering team, all of them experts in the security space and that has really improved our if you will security enhanced augment -- our DNA to be more security oriented. And I think you see the results of it not only in the endpoint capabilities that we have, but with things like RCM maturity, and the fact that we [Indiscernible] in the breadth of support as we provide including getting into other areas like case management and incident response management which I'm -- about. When it comes to endpoints specifically, we continue to execute based on our plans. We our plan is to take endpoint security and fold it into the stack to be an integral and intimate feature within it, which means that we can go to all of our existing customers and all of our future customers, whether it's observability enterprise search, or security and with a click of a button, enable them to be able to go and enable endpoint security. So, that integration continues based on our plan and the engineering team is on fire. Making sure that that happens which I remain very excited about it.
Janesh Moorjani: And Ittai with respect to the question on the Fed performance overall, we are quite pleased with public sector performance not just outside the U.S. but in the U.S as well. So the Fed perform quite all for us, given the couple of deals that you had talked about the slip deals from a couple of quarters ago, they were not a factor in this quarter at all, as you know, we get close some of those in Q3 itself. And as I mentioned on the prior call, these are just now any remaining dues usages for the bigger pipeline. So Feds performed nicely as the public sector worldwide. And broadly speaking, we continue to be confident about our opportunities and the Fed space and the overall opportunity ahead of us,
Ittai Kidron: Very good. Good luck, guys.
Operator: And our next question will come from Tyler Radke with Citi. Please go ahead.
Tyler Radke: Hey, thanks for taking my question. I wanted to ask you a little bit about your spending and hiring plans. Janesh, I think you made some comments that in response to COVID, you did kind of take a closer look at you know, managing things more prudently. And then obviously, the guidance it look like operating margins came in well above the street even despite the you know, despite lower revenues, so just kind of curious how if at all your plans have changed with hiring and maybe what, what prevents you from, you know, investing more aggressively in what might be actually a more favorable labor market, just as you know, some of your peers that have less resources have had to make layoffs?
Shay Banon: Tyler, thanks. It's a great question. So, look, based on the strength we saw in Q4, we are continuing to invest in the business and that includes investments in all functions, including sales. We -- if I look back at the way we managed the business over the course of fiscal 2020, we had deliberately accelerated investments into the front half of the year, and then moderate the investments in the back half of the year. So, we essentially executed the plan and demonstrated that we can actually be quite nimble and hiring and we've got our hands on the dial of -- the level of investment in the business. So, given that we've got that nimbleness, we will continue to do use that to our advantage here in fiscal 2021 given the backdrop of COVID-19. So, in the near-term, we are hiring at a more moderate pace, just given the impacts of COVID-19. Focusing on the areas that are best positioned for us to drive growth, we also need to absorb some of the investments that we have taken on with Endgame, for instance. And looking ahead, I do expect that we will invest even more with an eye towards driving long-term growth. We continue to invest in innovation and coverage as well as in scale. And then within sales function, it's not just adding capacity, but also thinking about, about other forms of selling. So, adding inside sales capacity, scaling out our renewal team, we're investing in the technical serving functions. We're investing in our partner program and continuing to drive growth as put an eye on the long-term opportunity and we continue to just be excited about that.
Tyler Radke: Great. And then a follow-up for Shay. I think you talked about the potential for customers to scrutinize investments a little bit going forward and Elastic as a company is targeted, quite a broad range of used cases from enterprise search, the logging, observability, security. I guess I'm curious, as you think about that broad range of use cases, other certain ones that may standout is maybe more or less discretionary. And have you kind of focused efforts on more specific set of use cases that you think are going to be more valuable and maybe less, less likely to be considered discretionary in this environment?
Shay Banon: Yes, of course. First of all, I think that I consider the three solutions that we have, from my perspective that needs to be -- tend to be mission-critical for organizations. If that search box within your workplace doesn't work, it means that it's very hard for you to find information and for the company -- for the team to work efficiently. I know that doesn't work in our company. We get a lot of noise about it and we stopped working. So, I'm excited about being able to -- to be at the crux of something that helps companies move forward, at least on a general level. I think in observability, it’s a similar manner, if you can't observe your infrastructure or your deployments, then you're probably in a challenge. And the same thing with security. If you're not going to secure your company, then you're going to be challenged as well. I think if you go and see how companies will then go and scrutinize their business, I would probably rank security slightly ahead of observability. And then if a company really needs to go and cut money, that maybe they can do less of enterprise search. But again, this is this is trying to find a very small differences between what I consider to be three crucial services to a company well-being.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Shay Banon for any closing remarks, please go ahead.
Shay Banon: Thank you. And thank you all for joining us today. Q4 was an amazing end to a strong financial year and we look forward to continuing the momentum in fiscal 2021. Thank you very much. Ciao.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.